Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fourth Quarter 2020 Autoliv Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. I must advise you that this conference is being recorded today. I'd now like to hand the conference to your speaker today to Anders Trapp, Vice President and Head of Investor Relations. Please go ahead.
Anders Trapp: Thank you, Alicia. Welcome everyone to our fourth quarter and full-year 2020 financial results earnings presentation. On this call we have our President and CEO, Mikael Bratt; and our Chief Financial Officer, Fredrik Westin; and I am Anders Trapp, Vice President of Investor Relations. During today's earnings call, our CEO will provide a brief overview of our fourth quarter results, as well as provide an update of our general business and market conditions. Following Mikael, Fredrik will provide further details and commentary around the financials. At the end of our presentation, we will provide a status update of our journey towards our financial targets. We will then remain available to respond to your questions and as usual, the slides are available on autoliv.com. Turning to the next slide, we have the Safe Harbor statement, which is an integrated part of this presentation and includes the Q&A that follows. During the presentation we will reference some non-U.S. GAAP measures. The reconciliations of historical use U.S. GAAP to non-U.S. GAAP measures are disclosed in our quarterly press release and the 10-K that will be filed with the SEC. Lastly, I should mention that this call is intended to conclude at 3 P.M. Central European Time, so please follow the limit of two questions per person. I'll now hand it over to our CEO, Mikael Bratt.
Mikael Bratt: Thank you, Anders. Looking now into the Q4 2020 highlights on the next slide. Before we start with a formal presentation, I would like to acknowledge our employees for their hard work and commitment to health and safety, cost control, quality, and delivery precision in these challenging times. The COVID-19 pandemic is first and foremost a human crisis, where safeguarding health and safety is our first priority. I'm very pleased that our operations reported record net sales, record profits, and record cash flow despite the challenges from the pandemic. We continued to execute on our strong order book and our sales increased organically by 13%, which was almost 11 percentage points more than the increase of global light vehicle production. The record operating income was the result of high sales growth, good operational execution, structural savings, and the forceful actions we initiated early in 2020. Our structural efficiency programs are on track and delivering savings. As part of our footprint optimization, we have announced the plans to close one plant in Sweden and we continue to evaluate further footprint of optimizations. It is encouraging that we can report the highest operating and free cash flow in our history of our company. This enables delivering towards our leverage ratio target of 0.5 times to 1.5 times. We continue to evaluate opportunities for shareholder value creation. The order intake share of around 45% in 2020 supports a prolonged period of outgrowth, and by that defending our growing market share. Customer sourcing activities was lower than expected as sourcing of some programs were pushed into 2021. Our focus throughout this crisis has been the health and safety of our employees and to come out of it as a stronger company. Although the COVID-19 pandemic is not yet behind us, the second half year performance shows that we have built the solid platform towards our mid-term target. However, disruption in the automotive industry supply chain, economic uncertainty, risk for further lockdowns, and the risk of increasing unemployment and its impact on consumer demand may tamper the 2021 light vehicle production development. Looking now on the financial highlights on the next slide. Our consolidated net sales increased by 15% compared to Q4 2019. This was the highest quarter sales for our passive safety business ever. As we outpaced the market, our global market share increased to 42%, with leading market share across all three core product areas: airbags, seatbelts, and steering wheel. Adjusted operating income, including cost for capacity alignments -- excluding costs for capacity alignment and antitrust related matters, increased by around 30% to $311 million. The adjusted operating margin increased by 130 basis points to 12.4%. Despite significant accruals for warranty and recalls, the accruals include higher-than-anticipated accrual for the Toyota Prius recall first announced in 2016 and other probable recall that is still under evaluation by the company and its customers. This is the first time we have made an accrual of this size, and it does not reflect Autoliv's high-quality standards and culture. Operating cash flow of $469 million was the highest cash flow on record for the company. Looking now on sales development on the next slide. I'm very pleased that our organic sales growth outperformed the global light vehicle production by 11 percentage points. We had a solid sales development in all the major regions with sales in Europe, China, and North America outperforming light vehicle production by 9 to 12 percentage points. The outperformance was the result of product launches over the past year and a favorable model mix. In the quarter, slowing sales of replacement inflators had a 0.7 percentage points negative effect on sales, mainly affecting North America and China. Looking on the next slide. We had several high content model launches during the quarter. We did not experience any major delays of launches. The models shown on this slide have an Autoliv content per vehicle between US$110 to US$540. Two of the vehicles are pure EVs and many of the remaining models -- remaining models will be available with some sort of electrified powertrain. The long-term trend to higher CPV is supported by the introduction of pedestrian airbags and hood lifters. For example, Subaru Levorg is the first Japanese produced vehicle with a pedestrian airbag from Autoliv. Looking now on the next slide. Our order intake share for the full-year continued on a high level, supporting our growth opportunities also beyond 2021. This is strong evidence that our company is the leading company in the passive safety automotive industry, and it shows that we have managed well when launching previous years high order intake. One of our key performance indicators, customer satisfaction has continued to improve and is at the high level, the best we have had for several years. However, this does not mean that we can relax. We always strive for improving products, services, processes, and costs. We estimate that we booked around 45% of available order value in 2020, making 2020 the sixth consecutive year with higher order intake. Now I will hand over to our Chief Financial Officer, Fredrik Westin, who will talk more about the financials on the next few slides.
Fredrik Westin: Thank you, Mikael. So on the next slide, we show all the highlights and key figures for the fourth quarter. Our net sales were $2.5 billion, a 15% increase compared to the same quarter last year. Gross profits increased by $75 million, and the gross margin increased by 40 basis points. The higher gross margin was primarily driven by the higher sales and direct material efficiency, partially offset for costs related to warranty and recall accruals. The adjusted operating income increased by $69 million to $311 million, mainly due to the higher gross profits. The operating cash flow was $469 million, the highest record quarterly operating cash flow for the company. Reported earnings per share was $2.15, and our adjusted return on capital employed was 33% and return on equity was also 33%. We did not pay a dividend in the quarter. Looking now on the adjusted operating margin bridge on the next slide, our adjusted operating margin of 12.4% was 130 basis points higher than in the fourth quarter 2019. As illustrated by the chart, the adjusted operating margin was positively impacted by lower costs for raw materials of 50 basis points and lower combined cost for SG&A and RD&E of 70 basis points, mainly due to lower cost for personnel in relation to sales. FX effects impacted the operating margin positively by 50 basis points. This is caused by transactional effects from a number of different currency payers. Operational improvements contributed with 180 basis points. This was a result of strict cost discipline put in place during the first half of the year, and the effects from structural efficiency programs partly offset by the negative impact of COVID-19 related costs and inefficiencies. Support from governments in connection with the pandemic was around US$2 million in the quarter. The margin was also affected by the accruals for warranty and recalls of 220 basis points. This is the first time in the history of our company that we have such high amount of this type of costs. Since 2010, we have accounted for less than 2% of all safety-related recalls, despite our high market share. Having said that the automotive insurance market has become more challenging, with increased insurance premiums and health risks, which could lead to higher average cost for recalls. Looking on the next slide, for the fourth quarter of 2020 operating cash flow was $469 million, an increase of $157 million compared to last year. The increase in operating cash flow was a result of the higher net income, effects from deferred income taxes and improved working capital. Strict inventory control or close collaboration with suppliers, but also reduced overdues and improved payables together with positive effects from other non-cash items were the main drivers for the improvement in working capital. Capital expenditures amounted to $111 million in the quarter, which is about 4.4% in relation to sales. Compared to last year, capital expenditures decreased by 6%. Free cash flow was $358 million, an increase of $164 million year-over-year. For the full-year 2020, operating cash flow was almost $850 million and free cash flow amounted to $0.5 billion. CapEx was $340 million for the full-year, a reduction by close to 30% compared to 2019 as we suspended or delayed some investments and more normalized market will lead to some increase in investments together. The cash conversion in 2020 was more than 200% as a result of the low CapEx, positive operating working capital development and non-cash items. Now looking on the next slide, we have, as you know, a long history of a prudent financial policy, and our balance sheet focus remains unchanged. The leverage ratio has improved from a peak of 2.9 times at the end of the second quarter to 1.8 times as of December 31, 2020. The improved leverage in the quarter was a result of our net debt decreasing by $350 million, while EBITDA over the last 12 months at the same time increased by $75 million. It is worth noting that our net debt is now $0.5 billion lower than when we spun-off Veoneer in 2018. Our strong free cash flow generation should allow further deleveraging and we expect to be within our target leverage ratio range before the end of 2021. On the next slide, you can see our key figures for the full-year 2020. 2020 was a turbulent year with the low point in the second quarter and the high points in the fourth quarter. Our net sales were $7.4 billion, with sales declining organically by 12%. This was slightly better than our guidance of a 13% decline with global LVP declining 17% or outperformance was approximately five percentage points. The adjusted operating margin was 6.5% compared to our guidance of around 6%, a dividend of $0.62 was paid in the first quarter. Looking now on the light vehicle market on the next slide. We see risk for near-term volatility to light vehicle productions from supply chain challenges, low labor availability and continued challenges around COVID-19 mitigation efforts. Although we're not directly affected by the semiconductor supply issues, it will potentially have substantial impact on light vehicle production in the first half of 2021. According to IHS market, more than 600,000 unit impact is highly likely, with most of that loss production expected to be recovered in the second half of the year. Largest impact is expected in China, followed by Europe and Japan. In North America, we expect that rebuilding inventory will push light vehicle production gains above light vehicle sales increases in 2021. In Europe, the overall production outlook remains constructive, given the need to rebuild inventories and support the ongoing domestic sales recovery and increased export activity. In China, positive economic fundamentals are supporting the ongoing recovery in consumer demand. Light vehicle production is now forecasted to grow 7% for 2021, after three consecutive years of decline. Our full-year guidance is based on our customer call-offs and light vehicle production outlook according to IHS market. On the next slide, you'll see some of the key models supporting our expected sales outperformance in 2021. These models are expected to account for a large share of our organic sales growth during the year. Nine of these models were launched recently; three are yet to be launched. Our content per vehicle on these 12 models is in the range of $150 to $600. Additionally, we continue to see a high number of product launches in 2021, especially in China, Europe and North America. Looking to our expected margin development for 2021, on the next slide, we see some tailwinds and some headwinds. The main tailwinds include the rebound of global light vehicle production, executing on the strong order book, and savings from the structural efficiency programs. The main headwinds include operational headwinds from higher cost per raw material of approximately 40 basis points, a gradual normalization of discretionary spending, and higher depreciation and amortization. Considering these potential tailwinds and headwinds, we expect a year-over-year improvement in adjusted operating margin of around 350 basis points. However, supply chain disruption in the automotive industry, risk for further lockdowns and the potential increase in unemployment and its effect on consumer demand may still impact this outlook. I'll now hand back to Mikael.
Mikael Bratt: Thank you, Fredrik. Now looking on the full-year 2021 indications on the next slide. These indications exclude costs for capacity alignments and antitrust related matters. Backed by recent product launches, we expect sales to increase organically by around 20%, supporting a full-year mid-single-digit outperformance versus light vehicle production. Our net sales increase is assumed to be around 25% including positive translation effects of around 5%. We expect an adjusted operating margin of around 10%. Operating cash flow is expected to be in line with 2020. It is important to note that the outlook assumes that light vehicle production develops broadly in line with IHS market latest forecasts. Turning the page, during the first half of 2020, we experienced the downturn of historical proportions. Despite this, our focused area for shareholder value creation are unchanged and we have continued to execute on the strategic initiatives presented at our Capital Markets Day in 2019. The ambition is to ensure we have an adequate cost structure supporting our mid-term targets. Today I would like to share some updates on our journey with you. But first, I would like to say a few words about how we integrate environment, social and governance into our strategy on the next slide. Our core business contributes to the United Nations sustainable development goals for health and wellbeing. We support the UN Global Compact, and its 10 principles are an integral part of our sustainability, commitment, strategy and work. We're well-positioned to support the industry transformation towards cleaner vehicles. Our commitment and strategic priorities include innovating products to save more lives in real life traffic. At the same time, we focus on improving resource, efficiency, and reducing our carbon footprint, managing sustainability risks in our value chain, committing to the wellbeing of our employees, and acting in the best interest of society as a whole. During 2021, we'll especially advance our position on the climate issue and update our climate strategy. Now looking on the next slide. Here we have our financial targets as presented at our CMD in 2019. During 2020, we delivered on the growth and cash conversion targets. In 2021, we expect to continue to build towards our profitability targets of around 12% adjusted operating margin. Looking on the building blocks for profitability growth on the next slide. Improvement in margins will come from three key levers: executing on a strong order book, stabilization of market fundamentals, and our strategic initiatives. Looking more on our three key levers and an update on our targets on the next few slides. For reference, our sales outperformed the global light vehicle production organically by five percentage points in 2020. We expect that content per vehicle will grow by at least 1% per year as a result of higher installation rates and introduction of new products. This, combined with a sustained higher order intake level, allows us to increase our medium-term target organic growth of 4% to 5% above light vehicle production on average, this is an increase by one percentage point. Looking on the market development on the next slide. The outlook for global light vehicle production looks very different today than back in 2019. IHS expectation for global light vehicle production has been reduced by roughly 7 million units per year, or approximately 40 million vehicles totaling 2020 to 2024. These reduced light vehicle production environment creates additional challenges. Looking on the next slide. To offset the effects from the expected lower light vehicle production, we expanded the structural efficiency programs. We have seen expected positive effects. The savings from our two structural efficiency programs was around $55 million in 2020 compared to 2019. In addition to the structural efficiency programs, we made a provision of around $35 million in 2020, with footprint optimization in Europe, involving plant closures in Germany and Sweden. We're also targeting to make some of the temporary cost reductions that supported a strong performance in the second half of 2020 permanent. Despite the pandemics, we have stayed true to our commitment and focused on driving improvements from key areas within operations, supply chain management and engineering. Looking at the progress on the next few slides. We have increased our optimization activity more than five times in the last 12 months from around 50 projects at the end of 2019 to more than 250 projects. Implementation is at full speed. For example, we have developed the fully automated line for weaving of cotton airbags, the first line is being taken into production in the first quarter of 2021. Our digitalization journey has also been accelerated with more validated used cases. Our improvement in Autoliv production system has shown great momentum, 80% of our plants have now reached go-level or above. During the last 12 months, 15 of our 65 plants have moved up one level or more. Today, we have no plants on basic or bronze level. Looking on Supply Chain Management on the next slide. Despite a challenging year for automotive suppliers, we managed to achieve a year-on-year cost reduction of more than 4% for components, material analytics, including 90 basis points from raw material price changes. This level of saving is clearly supporting our mid-term targets. Expanded payment terms is another focus area contributing to strong working capital improvement. The potential risk in the supply chain increased during 2020, we have taken a proactive approach and recognized supply chain risk management as a key part of our capabilities. Looking on engineering progress on the next slide. In our vision to reduce RD&E in relation to sales to historic levels of around 4% of sales and to support our optimization journey, we're transforming the way we're doing engineering. This transformation includes smart connection of systems, data, processes and tools, faster implementation on improvement projects, developing specific simulation tools for substantial reduction of prototypes and testing. During 2020, we have implemented 12 such improvement projects, and we're currently driving 40 more projects. In addition, we have more than 50 projects in the pipeline. I hope this presentation has shown you that we have a very high pace in the implementation on our strategic initiatives. Thus we're on track towards our mid-term targets. Now looking on focus for 2021 on the next slide. The health and safety of our employees is our first priority, while continuing more activities to further improve efficiency. We'll also continue our efforts on flawless execution of new launches, improving customer satisfaction further and thereby supporting our new and stronger market position. Sadly, there will be millions of traffic accidents in 2021, some fatal, some where people will get injured. Therefore, we will relentlessly continue to innovate and to deliver best quality products that will save more lives. Turning the page, we plan to hold our next Capital Markets Day in the fourth quarter, where we will showcase our full potential and provide an update on our strategy and development of the Autoliv Group. Additionally, we plan to show further with future products, given an update on opportunities in core and adjacent product areas, outline further potentials that we see in flexible optimization and digitalization and much more. I will now hand back to Anders.
Anders Trapp: Thank you, Mikael. Turning the page. This concludes our formal comments for today's earnings call. And we would like to open the line for questions. I'll now turn it back to you, Alicia.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Thank you. And our first question comes from the line of Emmanuel Rosner from Deutsche Bank. Please ask your question. Your line is open.
Unidentified Analyst: Hey, it's [indiscernible] for Emmanuel. So two questions. First, on the raw mat, could you go over kind of the impact going forward at current spot rate? Then, if I remember correctly, there's usually a lag, so it sounds like it could be 40 bps this year. Any sense of how much that might be next year? And then second question on the order intake, so it's been about 50% the past five years, could you maybe go over why that's kind of dropped down to 45% in 2020? Thanks.
Mikael Bratt: Thank you for your questions there. I can start with the order intake and then I'll pass on raw material to Fredrik there to give you some more details there. I think firstly, I think it's still a very strong year when it comes to our order intake. I mean, we have an order intake for 2020 that will continue to support our outgrowth of the market, and we have said all along here that we have expected market share growth into the mid-40s or around 45. And that is our focus to protect that market share as we move forward in the coming years here, and with the order intake that is higher than we had before the increased period here, so as I said, six years of strong order intake is doing exactly that. So, we're pleased with order intake and support the strategic outlook we have had when it comes to defending our market share.
Fredrik Westin: On the raw materials side, so we're guiding for a 40 basis point impact on the 2029 financials. The main negative impact we see is from steel, but But we do expect some offsetting effects from, for example, nylon still in 2021. And we also base this estimate on the assumption that steel spot prices have peaked and that the average steel price will be somewhat lower for the year compared to right now. And then of course, it also takes into account how our contracts are faced and how the spot prices will turn into an impact based on our setup with our supply base, so that's pretty much the picture on our raw materials.
Operator: Thank you. Our next question comes from the line of Chris McNally from Evercore. Please ask your question. Your line is open.
Chris McNally: Great, thank you so much. A follow on maybe to the market share, a question, could you maybe talk about how your Salesforce and division heads are sort of incentivized, this idea of basically going after revenue versus going after profitable higher margin business. Can you just talk a little bit about how that incentive structure works, because I guess people are trying to understand there is business to be won above that 45% market share target, is that something that they're incentivized to go after?
Mikael Bratt: I think I mean, first of all, I mean we always strive to get as much business as possible of course, to support our customers and doing that in a healthy way here. So, I mean we're focusing on both their top line and bottom line, and I think that is what we have alluded to also when we have talked about our ambitions to continue to grow here. I mean, if it's 45 or 50, some questions have been here in the past. Considering the last year’s order intake, I mean, we have been very carried that we don't have a market share target, per se. Our focus is to defend the market share that we are growing and do that in a healthy way from a profitability point of view. And I think we're doing that and that's also how we drive the company, and we're focusing here on supporting our customers here to have quality products to saving more lives, that's our focus.
Chris McNally: That's great. And then the second question is really more on the long-term target, which you seem to be reiterating of this 13% margin. And I think it was mentioned, even this 1% sort of organic content per vehicle growth above market share, and it sounds like we're going to learn a lot more on the CMD in Q4. But do you feel pretty confident that there is a passive safety tech story where there is actually content that could be grown, and obviously China is still coming up in terms of a lower CPV per vehicle. But do you feel confident that there's a growth story here well past when you hit sort of your eventual market share gains, because obviously the numbers get pretty big if we start putting on growth to the market and a 13% margin in whatever year that is 2025, et cetera?
Mikael Bratt: Yes, I think I mean confident. I will say we're making this adjustment based on the best to our knowledge. When we look and analyze the numbers that we have in front of us here, and as I said here I mean we see that the content per vehicle are coming in higher with both the development you see in some developing countries where the content per se in terms of features increasing, but also the more advanced products coming into the vehicles across the board, I would say. So hence the higher value in the CPV coming through above the 1% that we're talking about here, so that is what we see. And then combine that with the strong order book that we have and continue to build on also with this year's order intake, we feel that we can raise the bar with our performance here versus light vehicle production with 1% unit, so yes, that's what we see.
Operator: Thank you. Our next question comes from the line of Joseph Spak from RBC Capital Markets. Please ask your question. Your line is open.
Joseph Spak: Thank you very much. Maybe just to follow-on and to clarify like what you previously sort of talked about hitting that 12% margin target later in the planning period, because of the change in industry volumes, which is understandable. But now, since you've taken a lot of cost action to right size for that volume and the outgrowth is a little bit stronger, so has the timing of those margin targets shifted at all or can we go back to sort of the original planning or is it still, maybe a little bit later in the planning period?
Mikael Bratt: I think I mean, as we've said all along here is that I mean we have the mid-term target that's defined three to five years out from where we were there at year one, 2020. And of course that we have shown here in the presentation, there is for sure additional headwind compared to where we were in November 2019. And I mean, roughly 40 million vehicles lower in this period here seems to be not being there. So on top of that uncertainty here with -- and the circumstances to operate the business under COVID-19 together with the uncertainty coming out, so that definitely have put some more pressure on it. And as we've said all along, we're holding on to the targets. But of course within that timeframe, it could take a little bit longer time than expected. So, I mean we are still in the timeframe we're talking about, and we have always been within that timeframe. We have not said anything else.
Joseph Spak: Thank you. And then just for some of the 2021 guidance, I guess is two things. One, you noted in the fourth quarter, you mentioned a couple of times on the higher insurance, it sounds like that's more recent is that also a continued headwind into 2021, I didn't see it on your seesaw chart. And then for the first quarter production, you noted IHS at 14%. Maybe you could just talk about what you're seeing from your customer call-offs in light of some of the semi-shortage, et cetera where do you think it's going to be at that level or maybe a little bit below?
Mikael Bratt: If I start with the first one here about outlook here for light vehicle production, as we have indicated here, I mean, we're leaning on the IHS outlook here. And I mean, when we look at that, we see here that I mean we have compared to the second half of 2020 and you transform that into to full-year of 2021, you see actually slightly weaker 2021 compared to the second half of this year of around four percentage there. And I think when you look at that, of course with the start of the year here, when we have the COVID, we have also the semiconductor challenge, as we mentioned here, that is for sure some uncertainty in the beginning of the year, which we're cautious of. But I would say looking at the full number here; we have no other indications or views on what we see here on number for 2021. Hence then, our indication here that we have for 2021 so but we're very much aware of that we're still in the COVID situation.
Fredrik Westin: And Joseph, the question regarding insurance that's related to the cost of insurance, that's -- it's been an evolving picture over the last couple of years already. But we don't expect any significant headwinds from the cost of insurance for 2021 versus 2020 that would make it to the -- our seesaw scale.
Operator: Thank you. Our next question comes from the line of Victoria Greer from Morgan Stanley. Please ask your question.
Victoria Greer: Hi, there, afternoon, good morning everyone. And I wanted to ask about dividends and cash flow returns, please and how you'll be thinking about those. And you haven't booked dividend for Q4, when do you think is the right level and to think about reinstating your dividend? And when you do that, do you think that roughly the sort of split that you've had in the past of around 2.50 a share about $200 million a year and then anything incremental so that comes as a buyback? Is that still the right structure and that we should be thinking about as you get into your target range? And so, yes, some commentary about that please would be helpful.
Mikael Bratt: Right, thank you. First of all, I mean, we normally don't communicate the dividends in connection with our quarters, because as you know, we have quarterly dividends as is taken by the board on a quarterly basis. So not connected to Q reports. Secondly, I think maybe it's too early to pose that question. I think we're still in the uncertain period here, and we're still outside the range. But with that said, I also want to reiterate here that our clear ambition on target here is to have a shareholder friendly approach to how we return cash to our shareholders. Timing and also in which way and form we'll do that, that we have to come back to I mean, as I said, it's a decision to be made by the board eventually, but we need to get into more stable territory in terms of the business cycle before we order.
Victoria Greer: Okay. So you think really the market uncertainty is still too high for that to be a realistic discussion right now?
Mikael Bratt: Yes, I think the -- correct the business cycle is too uncertain. And also, we still have some way to go until we're within our range. But we said also that we have a pragmatic view. So we don't need to be within the range. But we need to see that we have a good track through there and more stable business cycle.
Operator: Thank you. And our next question comes from the line of Mattias Holmberg from DNB. Please ask your question. Your line is open.
Mattias Holmberg: Hi, thank you, Mattias Holmberg from DNB here. You made some comments on a slight headwind in the quarter from lower sales of inflator replacements. And I believe that you about a year-ago said that more or less, the last of that replacement will be made during 2020 and that we should expect this slight headwind that we now seen. Can you just briefly update us on the status of these replacements, I noted for instances Ford just a couple of days ago, announced a pretty significant recall still relating to the inflators?
Mikael Bratt: Yes, I think I mean, we're still where we are communicated before, we see diminishing sales connected to that replacement. And when it comes to what you saw the latest there, I don't see that we have any upside coming from that to us here. So I would say that the diminishing trend continues here. So no change to repeated statement.
Mattias Holmberg: Great. And could you give us an idea of how much of 2020 sales roughly was relating to the replacement?
Mikael Bratt: Well what's your question about the decline? Or how much sales did we have to replacement?
Mattias Holmberg: How much of 2020 sales was relating to replacement?
Mikael Bratt: It's around $55 million of sales in 2020 and probably a half of that in 2021 so it continues to diminish.
Operator: Thank you. And our next question comes from the line of Ryan Brinkman from JPMorgan. Please ask your question.
Ryan Brinkman: Great, thank you. I appreciate your comments on the dividend too. Maybe just another capital allocation question, as you return this year to your targeted leverage range, how should we think about the level of gross cash that you hold which I think is still toward the high-end of what you've had on the balance sheet historically, at least since the time of the Veoneer spin and then what is the first debt to be paid down? I don't know some of the sovereign debt, you’ve taken on there if that needs to be prioritized and how should we think about debt pay down versus other uses of capital?
Mikael Bratt: Yes. We still have a fairly comfortable cash position. And if you look I mean historically, we've been feeling in more stable times, we've been at about half of the cash that we would have today on the balance sheet. But as we said before, I mean we still believe that there are some level of risks in the market, and that it is prudent to maintain a slightly higher cash position at this point of time. But that would normalize or if it would normalize, we can then build down that that cash position here. We have very few maturities coming up here, both this year and next year. The most or the next larger one is the repayment of the [indiscernible] no, SEK sorry loan that we took up earlier during 2020. That's the first major majority in that that next year.
Ryan Brinkman: Okay, great. Thanks, just last question on things that you might contemplate doing in the future, apart from passive safety. So for example, this battery disconnect switch, I don't know if you've got any update there. And if that means that you see opportunities in addressable markets beyond airbags, seatbelts, et cetera.
Mikael Bratt: I think when it comes to the electrical vehicles, for example, this power safety switch is a component that we're selling and where we see opportunities to further grow and wherever you need to have power safety switch, there is good opportunities there. And we continue to explore what we have called adjacencies and our calling adjacent business opportunities where we're building on our core competencies here. But right now, I have no more details to give you around that more than that we have working progress there. And we will come back to Q1; we have more to say that.
Operator: Thank you. And our next question comes from the line of Vijay Rakesh from Mizuho. Please ask your question. Your line is open.
Vijay Rakesh: Hi, Mikael and Fredrik, just on the order intake. I was wondering, you highlighted EVs, do you see any difference in content between ICE and EV anything structurally there or kind of similar?
Mikael Bratt: I think when it comes to electrical vehicles; it's neutral to positive in terms of sales value from our side here. And we have a good presence in the EV segment here and reflects very much our overall market position here. So it's interesting and good development from our perspective to see the EV development there.
Vijay Rakesh: Got it. And on the LVP and demand outlook, just wondering if you drill down as you look at dealership levels, where do you see dealership inventories in North America versus China versus Europe et cetera? Thanks.
Mikael Bratt: I think overall the inventory situation is good, I would say. If you look at the U.S., actually the inventory levels is relatively low, I mean, we're around 48 days, which is to be compared with 60 days. And I would say some kind of normalized inventory level, so there is still some backfill needed in there. China is very much imbalanced, I would say and also Europe, maybe on the high side in terms of balanced definition, but overall in healthy positions, I would say. So nothing there that I would say is a concern with U.S. and maybe the opposite actually.
Operator: Thank you. Our next question comes from the line of Sascha Gommel from Jefferies. Please ask your question.
Sascha Gommel: Yes, good afternoon or good morning. I've couple of questions. The first question is in your introductory remarks; you said you continue to evaluate measures for shareholder value generation. Was that basically related to your capital allocation or how should I interpret that statement?
Mikael Bratt: I would say it's all of above. I think I mean yes when it comes to, as I said before, we’re shareholder friendly company returning cash to our shareholders over time. But then also our focus to drive towards our mid-term targets and here we have done all those strategic roadmaps that we have talked about. So it's what we do here.
Sascha Gommel: Okay. So nothing specific in terms of further measures you could highlight today that haven't been kind of discussed in the past?
Mikael Bratt: No, not more on a level here. I mean, it's really connected to our improvement on our earnings capabilities and cap return.
Sascha Gommel: Okay, perfect. And then I've just two very quick model questions. The first one, the warranty provisions you booked, when do you expect that to be cash effective? Is that kind of a $50 million cash-out this year? Or is in fact over longer periods?
Fredrik Westin: So there are two components within the Toyota part, which is one larger part of the $55 million. Their expectation is that that would be settled within this year. On the other part, it's more uncertain to say in terms of timing. So that's as much as I can say, at this point of time.
Sascha Gommel: Okay, perfect. And then very lastly, on the D&A headwind, do you have a rough number, how much you expect D&A to be a headwind in 2021?
Fredrik Westin: I think if you look at the year-over-year development in Q4, 2020 versus 2019, I think that gives you some indication, by quarter then for next year.
Operator: Thank you. Our next question comes from the line of Brian Johnson from Barclays. Please ask your question.
Brian Johnson: Thank you. In relation to the quest for new business and that 45% to 50% share that was discussed earlier. How would you characterize the pricing environment in the passive safety business? I've always been struck by the enormous costs that competitive products are inflicting upon their OEMs with the kind of ongoing cost cutting and price reductions OEMs seems to push at least historically prespore in the passive safety business, with this massive recall activity, which keeps going on mostly going forward, has there been any change in procurement attitudes towards price?
Mikael Bratt: No, I think I mean it's the same here. I mean, it is very competitive industry. And that is the 2% to 4% price reduction expectations on a year-over-year here. No, changes to auto savings [indiscernible]. So I can't really confirm that it's the same, so no changes.
Brian Johnson: Okay. And then, secondly, just in terms of -- so similar to the D&A question. Yes -- what -- with all the new business coming in, how could we should we think about modeling RD&E both their lumpiness in the quarters in 2021 as well as should be thinking about 4.5% as the mid-term run rate now?
Fredrik Westin: Yes. As we indicated in the guidance, we expect below 5%, on RD&E around 4.5%. And I think that's the -- we will of course, see the top-line benefit from that and then our ambition is to have the efficiency improvements on the gross engineering costs that we already showed that we showed you also on the ongoing activity. And then we also have activity in there our assumptions on the engineering recoveries, which is always a bit, there's always a bit more uncertainty around that. But 4.5% is what we're guiding for. And then over time this will then come down to below 4%, as we indicated, as the costs become more efficient with the further top-line growth.
Operator: Thank you. Our next question comes from the line of Erik Golrang from SEB. Please ask your question.
Erik Golrang: Thank you. I have two questions and a follow-up. Firstly, on the expected cost development in 2021, you said you didn't expect anything additional in terms of recall related costs. But does that assume that you have assumed that they are in a similar level as in 2020, i.e. around $55 million? And then related to order intake, was there a regional mix factor explaining perhaps the lower share i.e. that it would be any more sort of awards given in China versus the Western World. And then also if you could comment on your share in sales -- market share in sales for 2020? Thanks.
Fredrik Westin: So on the recall costs, we do not at this point of time that the provisions that we booked in the fourth quarter is what we see as the time to raise cost on recall. And sorry 2020 I mean. And that is what we see up there at the moment. Of course, we cannot rule out any further potential actions. But the forecast is not based on any significant recall cost in the same magnitude.
Mikael Bratt: And share in sales, as we said here, we had 42% market share of sales in 2020. So it is one percentage points higher than what it was in 2019, so the market share growth continued as we deliver on the order book here. And when it comes to the order intake, I wouldn't say that there is anything that sticks out into that, I think we had fairly even distribution in terms of how we continue to build on our different positions in the different regions here, so no, dramatic change in the balance there.
Operator: Thank you. Our next question comes from the line of Hampus Engellau from Handelsbanken. Please ask your question. Your line is open.
Hampus Engellau: Thank you very much. I'm sorry to come back on the order intake. You've been reporting 50% for so long. So I guess we're starting to get used to that. But if I know for some time that we've been discussing pricing versus market share et cetera. And I'm sure you don't have a market share goal unless you highlight it. But are you starting to see some rising competition, which means that you're more relaxed and focusing lately then second more on profitability. Is that something that has impacted your market share? So that's my first question. And second question is on the range and outperformance on organic growth, 4% to 5% instead of 3% to 4%. So I guess my question is that this is based on your backlog and you had your backlog at some time in each model and you know how much you specified on that model. So how has that kind of changed going forward? Is there a mix issue? Or have you been given additional business on existing contracts that you've had in your backlog? Or how should we think about that, those are my two questions.
Mikael Bratt: I think, first on the order intake here. I think as I said before here, we’re focusing on doing both, I mean driving growth and doing that in a healthy and effective way when it comes to the bottom line here. And as we have said all along 50% is not the target. But it is to defend our market share. And we believe we're doing that. And then of course this year, we came in around 45%. And this is an isolated year, also. So how you come out in a year also depends a little bit on how does your different customer base renewing their programs and how is your incumbency looking at that particular year, et cetera, et cetera. So there's many different components. And I think when you look at single year like this, and you come in around 45%, I think it's a very strong year and supports our long-term direction here. And as we have listed also the outperformance, I think that's a very good indication that that theory holds so to speak, because it comes down from how our order book have been built and are being built as we move forward on depending on which platforms you're on and we see then how the contents increasing on top of that. So the combination makes us profitable to adjust that target to one percentage points higher.
Operator: Thank you. And our last question comes from the line of Agnieszka Vilela from Nordea. Please ask your question, your line is open.
Agnieszka Vilela: Thank you. Could you help us with the EBIT bridge for 2021, and especially touch upon the savings components? So it would be helpful if you could quantify the kind of short-term savings that you had in 2020. You said that probably some of those will turn permanent. So what's kind of delta that you expect for 2021? And also on the permanent cost savings side, you obviously you're running your projects there. But you also say that you could have some scope for further improvement when it comes to the footprints. So could you please elaborate on that and whether you included that in your margin outlook for 2021? Thanks.
Mikael Bratt: Yes. On the outlook if you look at the contribution of the structural efficiency programs, so that the first one that was started in 2019, will have its last contribution in a year-over-year effect of around $10 million. And then we expect around $40 million from the second, that we initiated last year, so overall $50 million impact from that. And when you look at the footprint, these will take longer time, we're talking about time periods of 2023, 2024 when they will be finalized. So there will not be any contribution from them in the 2021 EBIT walk. And then we have not disclosed in the savings from discretionary spending, and it's difficult to forecast how exactly they will face in [indiscernible] during 2021. At the moment, they are pretty much running at the same run rate as they were in the third and fourth quarter. But our assumption was that they would normalize it here. But that's also of course connected to how the pandemic evolves, and then how quickly we go back to a more normal way of working. So it's a bit, yes, we've not disclosed exact amount. But there will be say some normalization of those discretionary spending during 2021 is our assumption.
Agnieszka Vilela: Okay, perfect. And then just lastly, what kind of operational leverage do you assume for the full-year?
Mikael Bratt: I think you can check it yourself from the guidance, I mean you have the top-line, you have the adjusted operating margin and from that you can look at what the leverage will be here.
Agnieszka Vilela: Yes, all right. And then, just the very last one, on the recalls. Are you sure that you will not see any kind of spreading impact from that with further products being recalled? What do you think about that?
Mikael Bratt: I think I mean, you need to look at this quarter as a very exceptional quarter in terms of recall cost savings which have been booked before. And this is an old, I mean old situation and combine them with another case here that comes up in the same quarter here. And this is not a new level you should expect with our focus on driving quality has been high always and we have also history of around 2% of the recall share considering that our total market shares, I think that's the performance that we intend to continue to secure as we move forward here.
Fredrik Westin: I mean, one comment is also that the recalls are not related to each other. It's not a systemic issue or anything. They are just two recalls where we have to book the charges in the same quarter based on the recent developments.
Operator: Thank you. We have no further question at this time. Please go ahead.
Mikael Bratt: Thank you, Alicia. Before we end today's call, I would like to say that we are operating from a position of strength in many aspects including market position, growth and dedicated employees. We'll continue to improve efficiency and continue to implement our strategic roadmap to support 2021 being a solid stepping stone on the journey to our 2022, 2024 targets. Our first quarter earnings call is scheduled for Friday, April 23, 2021. Thank you everyone for participating in today's call. We sincerely appreciate your continued interest in Autoliv. Until next time, stay safe.
Operator: Ladies and gentlemen that does conclude your conference for today. Thank you for participating. You may now all disconnect. Thanks.